Operator: Good day and welcome to the TEGNA's Fourth Quarter 2017 Earnings Conference Call. This call is being recorded. Our speakers for today will be Dave Lougee, President and Chief Executive Officer; and Victoria Harker, Chief Financial Officer. At this time, I would like to turn the call over to Jeff Heinz, Vice President, Investor Relations. Please, go ahead.
Jeffrey Heinz - TEGNA, Inc.: Thanks. Good morning and welcome to our fourth quarter and 2017 full year earnings call and webcast. Today, our President and CEO, Dave Lougee, and our CFO, Victoria Harker, will review TEGNA's financial performance and results. After that, we'll open up the call for questions. Hopefully, you had the opportunity to review this morning's press release. If you have not yet seen a copy of the release, it's available at tegna.com. Before we get started, I'd like to remind you that this conference call and webcast include forward-looking statements and our actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures. We have provided reconciliations of those measures to the most directly comparable GAAP measures in the press release and on the Investor Relations portion of our website. With that, let me turn the call over to Dave.
David T. Lougee - TEGNA, Inc.: Thank you, Jeff, and good morning, everyone. So, this has been an incredibly busy time for TEGNA. In 2017, we completed our transformation into a pure-play media company by, as you know, successfully completing the spinoff of Cars.com and the sale of CareerBuilder. We now have all our capital and human resources deployed with a laser focus on our strategic initiatives, growing and expanding the products we offer, the markets we are targeting and expanding the share we take out of those markets. Our fourth quarter revenue was up 9% year-over-year on a non-GAAP comparable basis, which is in line with our guidance. Subscription revenue was up 23%, and notably, we began to see significant stabilization of our total paid subscriber universe with a ramp-up of paid subscribers from our new OTT deals. Specifically, we saw a positive reversal of subscriber trends in the fourth quarter, excluding the impact of AT&T U-verse as we've discussed in past calls, paid subscribers in our markets in the top 10 DMAs were actually up in the fourth quarter on a year-to-year basis, a very meaningful development given our portfolio. I can address this obviously in more detail during the Q&A section. And our sales and marketing initiatives have grown consistently, particularly Premion. Premion, as I've talked about before, our new high growth, over-the-top advertising services division that we started at the very end of 2016, continues to open new markets and opportunities for TEGNA. As a reminder, Premion allows local, regional and national customers to directly and transparently place advertising in premium long-form, live and on-demand video programming that is delivered across a broad array of streaming devices, including smart TVs, mobile devices and desktops. By the end of 2017, Premion achieved more than $30 million in revenue for the year, above the high end of our guidance. The Premion team has executed more than 8,000 campaigns for more than 1,000 clients in more than 200 markets, which covers approximately 99% of the U.S. population. Premion will continue to expand its ad services platform by increasing penetration in local TEGNA markets and we're expanding our sales force in some major regional markets as well. For full year 2018, we expect to double our revenue from Premion's business. Separate from those revenues, we'll be building on Premion's leadership position in this OTT advertising space to branch out into new services for our agency and content partners, including an OTT data management platform, or DMP, as it's known and we will continue to make strategic investments that extend our footprint in the OTT advertising ecosystem, such as our recent investments in Tubi and Vizbee. Moving to the content side of our business, our transformation efforts are yielding proven practices that we're now implementing across the company. We are targeting specific audience segments where they consume media, creating unique content that is compelling, relevant and sticky; a key strategy for the future as we look to retain and grow audiences across multiple platforms. As a result of our original programming initiative, we recently announced with Sony Pictures Television a multiyear exclusive distribution agreement for all TEGNA owned first-run programming, such as Daily Blast LIVE, which crowd sources its content in real-time from viewers through social media, and Sister Circle, our live daily talk show designed for African-American women which is a large and traditionally underserved daytime audience. Sister Circle is also distributed nationwide each day on targeted cable channel, TV One. During 2017, we also completed our first wave of wholesale non-incremental transformations of our local news operations. Our most recent example is Get Up DC! on WUSA here in Washington, DC which targets an urban audience delivering weather, traffic and news that morning viewers need to hear, but with a very unique twist. Reese Waters, a DC native and a hip, unique and funny talent, is the centerpiece of this very different morning show. His sharp wit, insights and uniquely DC observations are part of a successful effort to bring us new audiences. Get Up DC! is just one example of programs and content that have come out of our very disciplined innovation summit process. Each quarter, we bring together our top innovators from around the company and around the country for a facilitated summit that breaks down all creative barriers, so teams can identify, incubate and launch new pilot programs. We've had six summits with participation from nearly 200 innovators. From those summits, we have launched 46 pilots, 13 of which have been green lit, including very well-received programs, such as VERIFY, and our digital-first investigations team that has produced award-winning products like the recent Selling Girls initiative. We've got our digital brand, HeartThreads, out of those summits, as well as several new innovative daily programs, like Get Up DC! Our innovative work is being recognized. We were named Multiplatform Broadcaster of the Year by Broadcasting & Cable and we won more investigative awards in 2017 than any other local media group in the country. Great investigative work is both a differentiator for us and central to our company's stated purpose of serving the greater good of our communities. That purpose permeates all we do and is a source of pride and a North Star for all our employees every day. Now, turning to M&A, two weeks ago, we closed on our purchase of Midwest Television in San Diego. The Midwest acquisition was very attractive to us as an M&A target and something we've had our eyes on for a while. San Diego is a very stable market and the station has strong loyal viewership and dominant ratings. In addition to mechanical synergies, we'll be bringing to bear the many multiple benefits of systems and initiatives and products, such as Premion, to increase their financial performance. And the regulatory landscape is continuing to move in our favor for our stated M&A strategy. Just a few weeks back, the FCC fended off a stay of its rule changes for end market consolidation. As we've said before, this will benefit TEGNA in particular. For the most part, we own only one station in the majority of our markets and are still the largest independent owner of Big Four affiliates in the top 24 markets where this consolidation has yet to take place unlike in the much very small markets. We're uniquely positioned to optimize our portfolio and station economics by consolidating two Big Four stations through swaps as well as purchases. As always, we evaluate all potential transactions with the same disciplined and opportunistic lens we've always used. And before I turn the call over to Victoria to discuss more detail on our financial results, I want to make a few comments about 2018. The year is off to a great start. For the Super Bowl, our NBC stations took the number one spot among all NBC affiliates for ratings in Buffalo and share in Minneapolis. And in the key adults 25-54 demographic, TEGNA stations had four of the top 10 NBC affiliates in Super Bowl ratings. For the Olympics, a similar story which wrapped up on Sunday. Our Denver and Minneapolis stations were the number one and two rated stations respectively among all NBC affiliates in primetime in that adult 25-54 demographic and we had four of the top seven. Turning to political advertising, the prospects for political advertising tied to the 2018 midterm elections continue to look very good for broadcasting overall and specifically for TEGNA. As you see in the news each day, there is unprecedented voter engagement for the upcoming midterm elections and there's a corresponding record level of fundraising. Across our portfolio, our markets feature 19 of the 36 gubernatorial governor races, and as of right now, eight of those races look very competitive. And of the 34 Senate races nationwide, our markets have 16 of those races and as of right now, eight of those or half look to be very competitive. And since our footprint covers a third of the country, we'll have a third of all House races with many of the competitive seats there as well. And raising the stakes further, which we think will be a new dynamic this year, we're now just three years away for the next round of redistricting of House seats, which comes with the census, which will add to the spending in state level races up and down the ballot in each of our states, as the Democrats have decided that's a battle they have not engaged in in the past and they're now going to pump a lot of money into. As I've said before, because our political revenue comes from a handful of large markets, we have more of a challenge forecasting this revenue with a precision that say, for instance a group with a very large number of very small market stations can. But that said, we are very optimistic about 2018 full year political revenue, as we've had meaningful improvements to our competitive footprint in recent months such as the addition of the competitive Senate seat in Arizona as just one example. And with that, I'll pass the call to Victoria.
Victoria D. Harker - TEGNA, Inc.: Thanks, Dave. Good morning, everyone, and thank you for joining us. As Dave mentioned, we are executing well on our content and growth initiatives, while enhancing our business through accretive strategic acquisitions and organic investments. Coupled with our balanced capital allocation strategy to delever and return capital, we're creating shareholder value while generating the financial firepower to continue to accelerate our growth. Before I cover our consolidated financial results and capital allocation for the quarter, I'd like to review a few special items with you. During the fourth quarter, we reported a onetime deferred tax benefit of $221 million, resulting from the new federal tax legislation which increased EPS by $1.02. As a result of tax reform, we expect the 2018 combined federal and state effective tax rate will be between 23% and 25%, producing cash tax savings of approximately $35 million for the year, which we will continue to invest in the business as well as inorganic growth opportunities. During the quarter, we also benefited from a $16 million after-tax equity investment gain, primarily due to the sale of Livestream. This benefited EPS by about $0.07 a share. As we discussed last quarter, Hurricane Harvey caused significant damage to our Houston station. During the fourth quarter, we experienced costs related to running temporary operations there, which were more than offset by insurance proceeds. As a result, we recognized an after-tax gain of approximately $4 million or $0.02 a share. Beyond these items, we also recognized costs related to the redemption of $280 million of our 2019 notes which we announced last quarter as well as transaction-related fees of about $6 million or $0.03 a share. All-in, special items for the quarter totaled $235 million or $1.08 per share. Moving now to the fourth quarter consolidated financial results. Keep in mind, all of my comments today will be focused on our performance from continuing operations on a non-GAAP basis in order to clearly provide financial insight into the drivers and results of our business. You can find all of our reported data and prior period comparatives in both the text and the tables contained in our press release. Also, please recall, as has been true for the past few quarters, we now report only one consolidated media segment, which also includes a small digital marketing services business previously reported in the digital segment prior to the Cars.com spin last year. As a result, our comparisons to 2016 were negatively impacted by the termination of our transition services agreement with Gannett and the absence of revenue from Cofactor. As a result of these items, revenue comparisons were unfavorably impacted by $16 million again this quarter. Quarterly comparisons through 2018 will be negatively impacted until we lap these changes midyear. As we've noted before, TEGNA's even to odd year results are significantly impacted by the cyclical drivers of Olympic and political spending driven by our high concentration of NBC stations and traditionally favorable political advertising footprint. For context, during the fourth quarter of 2016, our stations generated $81 million more in political advertising than the fourth quarter of 2017. So, as anticipated, excluding the impact of political advertising as well as terminated digital marketing services and the sale of Cofactor, total company revenue for the fourth quarter was up more than 9% year-over-year on a comparable basis, well within the guidance we provided last year. On a reported basis, total revenue for the fourth quarter was down 10%, due primarily to the $81 million political delta, also well within the range we provided last quarter. Breaking total revenue down just a bit further, subscription revenue growth for the quarter was up 23% year-over-year reflecting benefits from agreements negotiated with traditional MVPDs in 2016 as well as the start of OTT subscriber revenue that Dave referenced. Advertising and marketing services revenue increased 3% this quarter on a comparable basis, again, excluding discontinued digital marketing services revenue. This is the best quarterly year-over-year growth in 2017. On a reported basis, advertising and marketing services revenue was 2% lower than the fourth quarter last year. Now, turning to expenses, total company expenses on a non-GAAP basis were 6% higher year-over-year, due primarily to substantially higher programming fees, including first-time reverse compensation fees paid to NBC, 11 of our stations, which began earlier in 2017. Excluding programming costs and terminated digital businesses, adjusted operating expenses were down 2%. Excluding corporate expenses of $12 million, adjusted EBITDA for the quarter was $181 million, producing a margin from our business operations of approximately 37%. For the full year, also excluding corporate expenses, adjusted EBITDA was $684 million, resulting in a margin of 36%. Now, turning to liquidity and capital allocation during the fourth quarter, capital expenditures from continuing operations for the quarter totaled $13 million, reflecting investments in our news content and infrastructure development, as well as systems efficiency enhancements and maintenance. Looking ahead, we expect recurring capital expenditures in 2018 to be approximately $35 million to $40 million and approximately $45 million of nonrecurring items as we previously disclosed, including mandatory channel repacking, our planned headquarters relocation and a new facility in Houston. Now, turning to capital allocation, as we mentioned last quarter, net cash proceeds of $244 million from the CareerBuilder sale, combined with the remaining $40 million Cars.com distribution, were put to work early in the fourth quarter to redeem $280 million of our 2019 fixed rate notes, reducing interest expense by approximately $3 million per quarter through the third quarter of 2019. Subsequent to the disposition of Cars.com and CareerBuilder, TEGNA's free cash flow from continued operations was $22 million in the fourth quarter compared to $98 million in the third quarter, which you may recall had been significantly impacted by a onetime $33 million channel share payment received in the third quarter. In addition, the fourth quarter was impacted by a $49 million increase in planned interest and tax payments. Keep in mind that almost 25% of the cash tax impact this quarter relates to the Cars.com and CareerBuilder businesses prior to the spin and sale of those assets. As a result, at quarter end, total debt was $3 billion, producing net leverage of approximately four times, which was prior to funding the Midwest Television acquisition which didn't occur until February 15. In addition, under our expanded $300 million, three-year share buyback program, we repurchased $50 million of shares in the fourth quarter at an average price of $13.54 per share. Before I touch on first quarter revenue guidance, I'd like to expand a little bit more on Dave's comments on the Midwest Television acquisition which we closed mid last month. As we previously discussed, the purchase price of $325 million was financed through cash on hand and borrowing under our existing credit facility. This transaction represents an attractive tax adjusted purchase price multiple of 6.6 times the estimated average 2017 and 2018 EBITDA, including expected run rate synergies and tax benefits. The annual run rate EBITDA synergies are expected to be driven by mechanical revenue and cost efficiencies, while the revenue synergies will be driven by retransmission rate step-up in conjunction with leveraging of TEGNA's strategic initiatives within the San Diego market, digital marketing, products and pricing capabilities. Given the late close, the Midwest transaction's impact to the quarter will be minimal and will have a minimal impact on our net leverage ratio, increasing it initially by about two-tenths of a turn, and then returning to about four times by the end of 2018. Before I address first quarter revenue guidance, I also want to note that we're comfortable with the full year 2018 outlook we provided on Investor Day last May, based on what we know currently about the political landscape this year. During the first quarter, total company revenue comparisons will again be favorably impacted by increased advertising and marketing spend with the Olympics and Super Bowl occurring in the same quarter this year on our NBC stations. Keep in mind, not all Olympic or Super Bowl spending is entirely incremental and we anticipate that the incremental factor for the first quarter of 2018 will be less than historical trends. This is a result of fewer unwired deals which in the past have been 100% incremental for us as well as the competition for those advertising dollars from having the Super Bowl and Olympics on the same network in the same month. We'll have better insight into this after the quarter closes. We expect non-GAAP total company revenue in the first quarter, excluding the terminated digital business, to increase 10% to 12% year-over-year, driven by Olympics, Super Bowl and subscription revenue growth as well as nominal impact from the Midwest station. On a reported basis, we project total company revenue for the first quarter will be up high single digits year-over-year. As a reminder, the first quarter advertising and marketing services revenue is generally the lowest revenue quarter of the year with a natural seasonal sequential decline in quarterly turns from the fourth quarter to the first quarter. This is no different in 2018 for the base business prior to tentpole events like the Olympics and the Super Bowl. Regarding subscription revenue trends for the first quarter, as we've noted in the past, only approximately 6% of our MVPD subscriber base was renewed at the end of 2017. While there will be annual escalators beyond this during the year, the lower percentage of our subscriber renewals will not drive a significant year-over-year growth. By comparison, approximately 15% of our MVPD subscriber base are up for renewal in 2018 and almost half or 48% renewing in 2019. In addition, the terminated digital business will once again negatively impact the quarter's revenue by approximately $11 million. Now, let me turn the call back to Dave for some final remarks.
David T. Lougee - TEGNA, Inc.: Thanks, Victoria. We are very proud of all that the team's accomplished in 2017 and I want to thank all of our TEGNA colleagues for their passion, persistence, innovation and integrity. Though we're already well into the new year, as you can see, we have entered 2018 from a position of strength. Our strategic DNA allows us to move quickly and opportunistically with changes in consumer and advertising trends and our strong balance sheet gives us the flexibility to invest opportunistically in both organic and inorganic growth. All that, combined with our scale and dual cultures of strategy and execution, will create shareholder value for 2018 and beyond. And with that, operator, let's open it up for questions.
Operator: Thank you. First question comes from John Janedis of Jefferies. Please go ahead.
John Janedis - Jefferies LLC: Thanks. Good morning. Dave, thanks for the color on the paid subscribers. I know you talked about the top 10 being up, but with YouTube now in more than 90 markets, do you see an opportunity for a similar trend in the small to midsize markets? Because I know, in the past, you discussed the small versus large market phenomenon. I was hoping for an update there.
David T. Lougee - TEGNA, Inc.: Yeah. Thanks, John, for the question. It remains to be seen. I think to go – to take the last point first, we are continuing to see the trend where the large markets have a very different profile on subs than the smallest markets and I've confirmed with other operators what our theory about that is, is that most of those are rural markets where people are living on lower incomes and without the income growth and just the cost of the cable bill is a much bigger part of their life and notably, they're cutting the cord in those markets without the availability of the OTT services, which is – so, it remains to be seen. They are not really launched out there in those. So, we will wait to see. But what I can say and with much more conviction than I could have three months ago, because we really saw the ramp-up in the launch of the services is that – I'll put a number out there. I'm going to let you know that we're finishing the year with almost 600,000 OTT subs and the vast majority of those, John, are in the top markets. So, for us, as I said, our top – we've got four stations in the top 10 DMAs. In the aggregate, they were up more than 0.5% year-to-year. So, that's OTT and traditional as well. And there's not population growth, I think, actually, you have some homes even taking two services. And in our case, those markets, as our most major American cities, higher income, higher affluence, less price sensitivity, but the net of it, though, for us is a very, very positive trend, but to your point about the smaller markets, for us, it remains to be seen.
John Janedis - Jefferies LLC: All right. Thanks. And then, maybe separately, look, as you know, there seems to be a lot of cross-currents in the ad marketplace. So I don't know if it's possible, but if you strip out events, how would you characterize the underlying marketplace on the outside? Are there any regions to call out? And I think you said this, but just to reconfirm, the Midwest asset, that is in the guidance, correct?
Victoria D. Harker - TEGNA, Inc.: Yes.
David T. Lougee - TEGNA, Inc.: Yes. Minimal impact, but yes. Yeah. But you're asking about sort of the underlying ad market, John, just to be clear on the question?
John Janedis - Jefferies LLC: Correct.
David T. Lougee - TEGNA, Inc.: Yeah. I'd say, we still have to finish the quarter and sift it out a little bit. But I would say what I think what you've heard from others, it's not stronger than fourth quarter. Fourth quarter was probably the strongest quarter of the year. But I'd say underlying it all, it's kind of a flattish ad market, I think, as we look. It's a little noisy for us when we break out the Olympics and stuff, but that's kind of how it looks to us right now.
John Janedis - Jefferies LLC: All right. Thanks so much.
David T. Lougee - TEGNA, Inc.: Okay. Thanks, John.
Operator: Thank you. Our next question comes from Alexia Quadrani of JPMorgan. Please go ahead.
Alexia S. Quadrani - JPMorgan Securities LLC: Hi. Thank you. Just a couple of questions sort of follow-ups. I think you mentioned the Olympics this year were a little bit less incremental, I guess, is that always the case? I mean, how does that compare to, I guess, your experience to the Olympics, the last Winter Olympics that you guys experienced? And then, you did highlight fewer distribution renewals going into 2018 with more to come I think in end of 2018-2019. How should we think, or do you have a range on how we should think about sort of gross retrans for 2018 given that?
David T. Lougee - TEGNA, Inc.: Yeah, Alexia, thanks. I'll take them in reverse order. I think you're exactly right. So, we're living off the escalators of the deals we did at the end of 2016 and a few subs that we generated at the end. I think a good range on the top line for us on retrans for the year is probably low double digits is a good – as obviously we – as I said before this sifting out this noise between the virtual MVPDs and the traditionals, but we are actually now feeling – was once we were kind of cautiously optimistic/maybe worried. Now, we're feeling, it's early and I got to be careful about this, right, but now we got really some optimism about what – especially for our portfolio given the large market stations that we're going to have a significantly good development. Yeah, on the Olympics, so let me go to address Victoria's points in a little more detail. Because we have large market NBC stations, they have gotten in the past and did some this year, overflow revenue from network sales that go to the O&Os and to us basically, us and a couple of other stations and other groups because really we fill in most of the top 20 markets for NBC. And so, that's money that other groups or small stations don't get. Those dollars are down this year about roughly $4 million and those are 100% incremental dollars, they're sort of dropped in from heaven. So, they just – they weren't there, so I'll give a number. We think we're going to finish at roughly $38 million for the Olympics this year compared to $42 million. But the – because that – and that drop's entirely related to that $4 million of 100% incremental money, so whereas incremental back and forth – and by the way, that's also compared to we did $25 million in 2010. So, it's – we're still $13 million over that for comp basis. But for the division in 2014 and remember, so it's the incremental on the NBC station subtracting the losses that you have on your non-NBC stations for the division are incremental, which is not an exact science, but it's pretty close. We had it back in 2014 at probably just under 50% for the division and this year we'll have it just under 40%.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay. Thank you very much.
David T. Lougee - TEGNA, Inc.: And just to add to that, Alexia, what that says is when you take out that loss of that money from heaven, as I called it, are actually our sales, our TEGNA sales for the Olympics were exactly flat to 2014.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay. That's very helpful. Thank you.
David T. Lougee - TEGNA, Inc.: Thank you.
Operator: Thank you. The next question comes from Dan Kurnos of Benchmark Company. Please go ahead.
Daniel Kurnos - The Benchmark Co. LLC: Great. Thanks. Dave, just maybe a kind of a higher level question. People are looking at this space and what's happened with some of your peers and a lot of the reinvestment and initiatives and I think people are kind of trying to gauge what's going on from the margin profile. Obviously, reverse has been a little bit higher, I think. But generally speaking, you guys are investing in Premion. You've already talked about that in kind of the payout you're expecting to see there. But can you just kind of walk us through a little bit more holistically on how we should think about your margin profile over the next 12 to 24 months? And you've talked in the prepared remarks about sort of reinvesting I guess all of the upside from the tax cuts. So, just if you can help us kind of think about how long the spigot will be on, when all of that turns to profitability? And you did talk about some of those initiatives, but just any more granularity you can give so people can feel comfortable with sort of the expense guide on a go-forward I think would be really helpful. Thanks.
David T. Lougee - TEGNA, Inc.: I'm going to turn it over to Victoria.
Victoria D. Harker - TEGNA, Inc.: Sure. Dan, keeping in mind we talked back on Investor Day of an EBITDA margin on a recurring – or in terms of recurring business operations in the range of 39% to 42%. I think with the growth and the acceleration of Premion, we probably at this point guide to the lower end of that range because it is developing quite quickly and we are reinvesting in that business in order to take share. I think that post-2018 into 2019, depending on what we see in other markets or other opportunities for partnerships, we would likely see that start to stabilize a bit in terms of margin on Premion and digital in particular, but I think we're very comfortable with that range still.
David T. Lougee - TEGNA, Inc.: And, Dan, I'll give you granularity on Premion. As we've said in the past, I'm intentionally running that at a zero margin because we are just – we are grabbing market share and it's just the right long-term thing to do for the company. But I think by year end, we'll have that in the low single digits as a margin and ramping up next year for Premion, that gives you a little help, but that's by year end, not for full year.
Daniel Kurnos - The Benchmark Co. LLC: Got it. That's great.
Victoria D. Harker - TEGNA, Inc.: And, Dan, just to close...
Daniel Kurnos - The Benchmark Co. LLC: Sorry. Go ahead.
Victoria D. Harker - TEGNA, Inc.: Just to close – no, I was just saying just to close that out and that's based on what we see today, as Dave mentioned, in terms of political. Obviously, if it's a very different political environment, given the margins in political, that would impact that for the year.
David T. Lougee - TEGNA, Inc.: One way or the other.
Victoria D. Harker - TEGNA, Inc.: One way or the other.
David T. Lougee - TEGNA, Inc.: Right, right.
Daniel Kurnos - The Benchmark Co. LLC: Yes, I think we all unfortunately remember what happened in 2016 too well. So I understand everybody's hesitance around political. Dave, just also on the M&A environment, it sounds like nobody is really being delayed because of the push out on the Sinclair-Tribune close. I assume that you've probably fall in that camp. Obviously, you did something more recently than anyone else. But just relative to what you see out there and your ability to go after the end market consolidation, it sounds like things are kind of quiet on the available asset front. So just kind of your thoughts there and timing and when all of that might pick up.
David T. Lougee - TEGNA, Inc.: Yeah, I would just – obviously, we don't talk about any specifics. But on your last point, I would just – no, that's not the case. There are active conversations on multiple fronts.
Daniel Kurnos - The Benchmark Co. LLC: Okay. Great. Thank you very much.
David T. Lougee - TEGNA, Inc.: Thank you.
Operator: Thank you. The next question comes from Craig Huber of Huber Research Partners. Please go ahead.
Craig Anthony Huber - Huber Research Partners LLC: Yes. Good morning. Just some extra clarification here. In the first quarter, do you have a number for us how much the Super Bowl added, I guess, incremental?
David T. Lougee - TEGNA, Inc.: Yeah. The Super Bowl is $10 million incremental, Craig. And that's actually – it's about – it's a little bit lower than it was in – when we had it last in NBC, but that's only because we had a home team, the Seattle Seahawks, in – that added $1 million because they were in the game. So, we were actually in the – that revenue is exact – taking that backdrop was exactly flat to 2014.
Craig Anthony Huber - Huber Research Partners LLC: Okay. And then my next question, in your guidance for the first quarter, we say GAAP total company revenue up high single digits. How much in there – can you just give us the dollar amount? I guess I'm trying to figure out here the acquisition that you did in San Diego, how much on a – what's the annualized revenues let me just start there, please?
Victoria D. Harker - TEGNA, Inc.: We haven't broken that out at this point and it doesn't – because we have – we just closed. When we announced the deal, we talked about the fact that it would be EPS accretive within 12 months or so. It's just one station obviously, so it's not material in terms of the size of the whole portfolio and it's nominal in terms of the first quarter.
Craig Anthony Huber - Huber Research Partners LLC: If you can give us like what the 2017 revenues were for what you purchased?
Victoria D. Harker - TEGNA, Inc.: I think the – well, if the TV's absent, the radio stations was in the mid-50s-ish.
David T. Lougee - TEGNA, Inc.: Yeah. But those are obviously very different numbers for us...
Victoria D. Harker - TEGNA, Inc.: Exactly. Right.
David T. Lougee - TEGNA, Inc.: ...given our synergies and stuff, so...
Craig Anthony Huber - Huber Research Partners LLC: And then, also, can you tell us how auto advertising did in the fourth quarter year-over-year and how it's tracking in the current quarter, please?
David T. Lougee - TEGNA, Inc.: Yeah. So, auto for us was flat in the fourth quarter, Craig. And are you asking about how it looks in the first quarter? Is that the second part of the question?
Craig Anthony Huber - Huber Research Partners LLC: Exactly.
David T. Lougee - TEGNA, Inc.: And the answer is, yeah, about the same. It's about flat – it's flattish in the first quarter.
Craig Anthony Huber - Huber Research Partners LLC: And then, my final question, please. What is your preliminary outlook, I guess, for net retrans percent change this year, please?
David T. Lougee - TEGNA, Inc.: We haven't guided to that in the past, but we will have growth, Craig, and we will have growth this year, next year and going on.
Craig Anthony Huber - Huber Research Partners LLC: Okay. Good. Thank you.
David T. Lougee - TEGNA, Inc.: Thank you.
Operator: Thank you. The next question comes from Kyle Evans of Stephens. Please, go ahead.
Kyle Evans - Stephens, Inc.: Hi. Thanks. A couple of follow-ons to previous. Could you talk a little bit about – you mentioned flat auto in 1Q. Is it impossible to tease that apart from the sports events that you had in there and what's the look forward into the 2Q? I know it's still early, but any look forward there would be helpful.
David T. Lougee - TEGNA, Inc.: Yeah, Kyle, I actually don't have that teased out, although I can tell you actually that auto was a much lower percentage of Super Bowl and Olympics than in years past. So, it actually is sort of a drag on what it would be for us for a pace relative to – but I will say we have a lot of categories that are up in the fourth quarter and in the first as well. To your point about second quarter, it's just way too early. The big agency business is placed so late these days, we just – we don't have any meaningful insight to give on second quarter.
Kyle Evans - Stephens, Inc.: This is maybe nitpicky, but you mentioned you saw some homes taking two services in your commentary on the OTT migration. What kind of visibility do you have there?
David T. Lougee - TEGNA, Inc.: Some of it is from the provider, some conversations with some of the providers themselves. And just the fact that subs went up – total subs went up for us in those top 10 markets. So it's hard to come up with a theory, but just being it could be that there's just brand new homes that didn't have it before. But we know from one of the providers, at least one of them, that they've got a lot of dupe in some of the major markets. But I doubt that's the case with all the others, like, DIRECTV now, I would think that's not going to be the case and that's actually probably the biggest player out there.
Kyle Evans - Stephens, Inc.: Got you. And I know you don't report national versus local, but just kind of any commentary on what you saw between those two chunks of core in both 4Q and current quarter.
David T. Lougee - TEGNA, Inc.: Yeah, I think local trends are better than national both in fourth and first.
Kyle Evans - Stephens, Inc.: National, a positive number in both quarters?
David T. Lougee - TEGNA, Inc.: I think, well, I don't actually have that breakout in front of me to be honest with you, but I just – likely national was down slightly in the fourth quarter, offset by our local gains.
Kyle Evans - Stephens, Inc.: Great. Thank you so much.
David T. Lougee - TEGNA, Inc.: Okay. Thank you, Kyle.
Operator: Thank you. The next question comes from Marci Ryvicker from Wells Fargo. Please go ahead.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Victoria, you talked about reinvesting the $35 million excess cash from tax reform. Is that all going to Premion or is it going across your businesses?
Victoria D. Harker - TEGNA, Inc.: Across all of the business and also we have – we drew about $220 million under the revolver to pay for Midwest. So, as we get those cash tax savings, obviously, we'll use some of that to retire the amount drawn under the revolver, but it's a broad-based reinvestment in creating more firepower as well as in our products and services.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then can you give us the comparable figures for Q1 2017 so that we all have the right numbers and we do our models for the GAAP and the non-GAAP guidance you gave for revenue?
Victoria D. Harker - TEGNA, Inc.: You mean total company revenue?
Marci L. Ryvicker - Wells Fargo Securities LLC: Yeah. Just so that – I mean, you have high single-digit GAAP revenue growth for Q1 2018. So, what's the right Q1 2017 number? And then the non-GAAP, 10% to 12% revenue increase, what's the non-GAAP Q1 2017 number?
Victoria D. Harker - TEGNA, Inc.: Hold on, it's very small print. Hold on.
David T. Lougee - TEGNA, Inc.: We're working on it, Marci.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. Then I'll ask you, do you have a pro forma political number for 2014 just so we can compare to 2018?
David T. Lougee - TEGNA, Inc.: Yeah. Yeah. Yeah, for the quarter you're asking, Marci?
Marci L. Ryvicker - Wells Fargo Securities LLC: For the year, pro forma political 2014?
David T. Lougee - TEGNA, Inc.: For the year, yes we do. It was $160 million for the year.
Marci L. Ryvicker - Wells Fargo Securities LLC: And that includes Midwest?
David T. Lougee - TEGNA, Inc.: No.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay.
David T. Lougee - TEGNA, Inc.: No. Good question. And also, I'll just give you more color, too, just – we'll probably do around $10 million in political in the first quarter, which is identical to what we did in 2014. But don't read that much into that in terms of as – the year is going to come out the same. It's not really that much of a predictor of where the year will be, but nevertheless I can give that color that it looks like we're going to maybe just coincidentally end the first quarter identical to 2014 on political.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. Got it.
Victoria D. Harker - TEGNA, Inc.: And, Marci, back to your question to the comps for 2017, the total revenue for the first quarter was $459 million and you have to back out of that $10 million for the discontinued geo businesses. So, the adjusted would be $448 million.
Marci L. Ryvicker - Wells Fargo Securities LLC: Perfect. Thank you very much.
Victoria D. Harker - TEGNA, Inc.: Sure.
David T. Lougee - TEGNA, Inc.: Thank you, Marci.
Operator: Thank you. The next question comes from Barton Crockett of FBR Capital. Please go ahead.
Barton Crockett - B. Riley FBR, Inc.: Hi. Yes, it's Barton from now B. Riley FBR and thanks for taking the question. I wanted to just probe a little bit more on the net retrans, which I know you don't want to speak to too specifically. But it is clearly a huge concern for people in this sector right now. And I'm wondering if you could give us a little bit of qualitative, which is, is the reverse comp growing faster than the net retrans revenues and are you still in the 50%-plus kind of ZIP Code in terms of your share of the retrans that you're able to maintain? And how can you describe kind of the pace of reverse comp renewals coming up? I mean, when do we see some more kind of negotiations that maybe we should think about there?
David T. Lougee - TEGNA, Inc.: Yeah. So, let me take the last one first, Barton. So, we have our ABC stations up at the end of this year, which is a pretty small piece of our portfolio. Then, we have CBS at the end of 2019. And then, the biggest part of our portfolio is NBC, which isn't till 2021. So, you can see we don't have big – we've got some ladders and we're going to have a lot of subs up to go over that. But the bottom line is net retrans is growing. So, it continues to grow. And we said in the past the 50% number is a good range.
Barton Crockett - B. Riley FBR, Inc.: Okay. So, at this point, when you say it's growing, I mean, it sounds like maybe it's growing in the ballpark of the gross or is that how I can interpret the steady margin commentary?
David T. Lougee - TEGNA, Inc.: Yeah, pretty much in line with the gross. That's right.
Barton Crockett - B. Riley FBR, Inc.: Okay. All right. That's great. Now, the other thing I was curious about is on the Olympics, which is a recurring thing for you with your NBC exposure. One of the things we've noticed with NBC is that while their total ratings were down maybe mid to high single-digit or low double-digit across all platforms, it was down a lot more on the NBC broadcast network with a lot of viewers going online or going to the sister networks. And what does that mean for a TV station operator like you guys? Is that a meaningful issue that you're not getting some of the derivative views that maybe NBC is able to capture? Does that put more pressure on your Olympics revenue than maybe NBC is seeing?
David T. Lougee - TEGNA, Inc.: Yeah, no, it's actually – it's a good question, Barton. Look, we actually have a very cooperative and collaborative relationship with NBC on this. In fact, Mark Lazarus has reached out to me as the head of the NBC Affiliate Board to collaboratively think about lessons from this Olympics. Those other screens and other views in other Olympics have actually been additive. I think a theory of the case this year is because the American athletes, for whatever reason, didn't do very well, so people knew by primetime that there wasn't a great American story. It works in the inverse when you know – if you know that an American did great in figure skating and the fact that figure skating was live and the skiing was live, the non-live events, if you know the American did well, that actually increases viewing. So, my theory of the case this year is that I thought that it really – I actually thought NBC did a really good job in producing it and a nice job working with the IOC and getting the main events in prime as they will in Japan in two years. But I think the – basically poor performance of the U.S. team writ large was the biggest factor. But we're going to be working with NBC in scrubbing the data on all that. We are aligned with them. Prime is enormously important to them, right? So it is not – yes, they sell these multi-platform views and all that, but prime is still so disproportionately important to them that we are aligned.
Barton Crockett - B. Riley FBR, Inc.: But do you get any monetary benefit from the secondary platform views or is that kind of a goose egg for you?
David T. Lougee - TEGNA, Inc.: We don't with the Olympics, we do with most other NBC events, but we don't particularly with that right now. We get some digital revenue there. NBCOlympics.com site was actually very good. It has a lot of traffic and some localization, so we do get off of that platform. But, obviously, if something's running on the NBC Sports cable channel, we have no monetization off that and never have.
Barton Crockett - B. Riley FBR, Inc.: Okay. All right. Great. Thank you very much.
David T. Lougee - TEGNA, Inc.: Thank you.
Operator: Thank you. The next question comes from Barry Lucas, Gabelli & Company. Please go ahead.
Barry L. Lucas - G.research LLC: Thanks and good morning, Dave. I don't want to beat the political horse to death too much, but was there any unusual, really unusual races that were positives or negatives in 2014, and if you would care to, would you mind throwing a dart at this year's total?
David T. Lougee - TEGNA, Inc.: On the last question, hell no. From the 2016 experience, Donald Trump has – it's just we accept too much variability. It's irresponsible for us to do it. But to your color, what I'd say is that 2014, we had a Murderers' Row line up of Senate races. We don't have that same line up this year. However, we do have what looks to be a better line up of gubernatorial races significantly better and a lot more money is going to the governors' races this year as a proportion than it did a few years ago. So that may have the effect of being a toss there. I think what's – the wildcard for us is, right now, we don't have baked in a competitive Senate seat in Texas for instance, although we're getting significant primary spending money on the Republican race right now in the first quarter. That's the kind of variable. If somehow that race went competitive, then it – given that we're in 85% of the state, that would have a dramatic impact on our numbers. So, I'd say relative to the portfolio based on how we're weighted, I think the governors' races offset the loss of Senate seats, although our Senate – like I said, the Arizona Senate seat, we got two Senate seats in the last six months when Al Franken resigned and then Jeff Flake announced he wasn't running, so better than it was, but I think, overall, it looks very good.
Barry L. Lucas - G.research LLC: Great. Thanks for that.
David T. Lougee - TEGNA, Inc.: Thank you.
Operator: Thank you. There are no further questions at this time. Please continue.
David T. Lougee - TEGNA, Inc.: Okay. Okay. Well, thank you very much for your time and we look forward to speaking with you on our first quarter earnings call and, again, if you have additional questions, please call the man you know, Jeff Heinz, at 703-873-6917. Thank you, everyone. Have a good day.
Operator: Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.